Operator: Thank you for standing by. Welcome to the Intchains Group Limited Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Alice Zhang with The Equity Group. You may begin.
Alice Zhang: Thank you, operator. Good evening to everyone. Welcome to Intchains' Fourth Quarter and Full Year 2025 Earnings Conference Call. Please be advised that the discussions on today's call will include forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on the company's current expectations and projections regarding future events that may impact its financial condition, operating results and strategic direction. Although the company believes that expectations expressed in these forward-looking statements are reasonable, it cannot assure you that such expectations will turn out to be correct, and the company cautions investors that actual results may differ materially from anticipated results. Investor should review other factors that may affect its future results in the company's registration statement and other filings with the SEC. The company undertakes no obligation to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances or changes in its expectations, except as required by law. Please note that in today's call, we'll discuss certain non-GAAP financial measures. Please also refer to the reconciliation of non-GAAP measures to the comparable GAAP measures in the earnings press release. The presentation and webcast replay of this conference call will be available on the Intchains' website at www.ir.intchains.com. It is my pleasure to introduce Interim CFO, Mr. Charles Yan, who will provide an overview of full year 2025 financial results, recent operational achievements and the company's long-term growth strategy before opening the floor for questions. Charles, please go ahead.
Chaowei Yan: Thank you, Alice, and welcome, everyone. Intchains engaged in the design and development of altcoin mining machines, ETH accumulation and yield-generating strategy as well as the delivery of Web3 infrastructure services. Starting December 2025 following the completion of acquisition and the launch of our Goldshell Stake platform, we also provide cryptocurrency staking services for individual and institutional crypto investors. Altcoin mining hardware and Ethereum accumulation and staking activities are the other core pillars of our businesses with sales of our mining machine being the primary source of our revenues. As discussed in the past, we operate in an industry heavily influenced by cyclical volatility, and this has impacted net revenue for full year 2025. Despite short-term market volatility, our ability to continuously and properly deliver state-of-the-art mining products showcases our business agility supported by a long-term commitment in R&D. 2025 was highlighted by launch of series of mining products, including ALEO, Dogecoin and XTM miners. In Q1, we introduced our first ALEO mining series to the market in response to the rapid growth of the ALEO product demand. The launch achieved a strong customer adoption and contributed to substantially increased revenues in the first quarter. During the year, we also launched our groundbreaking byte -- Goldshell BYTE, dual miner, an innovative solution that allows our customers to maximize mining returns by switching seamlessly between algorithm cards according to market conditions. This new machine has generated significant market interest and law supports -- moral support mining across 6 different cryptocurrencies using our proprietary algorithm cards. Throughout 2025, these products experienced rapid iterations with multiple additional product models released for ALEO and Dogecoin miners. Late in this year, we introduced XTM miners, another high-performing minor series, which accounted for a significant portion of our Q4 net revenues. Together, these product launch have reinforced our market competency, reflecting Intchains' capabilities to seizing early market share in the innovative altcoin projects with the top-tier next-generation mines. During the year, we also continued to explore ways to evaluate -- to elevate our ETH accumulation, holding and staking strategies. On the ETH accumulation side, we continued executing our disciplined and self-funded ETH purchase strategy, always mindful of prevailing market conditions and price, more so during the second half of the year. 2025 was characterized by significant swings in ETH pricing, driven by macroeconomic uncertainty, shifting liquidity conditions and evolving institutional participation in digital assets. ETH experienced a period of sharp upward momentum followed by notable corrections, creating a volatile but opportunity-rich environment. During a year full of volatility in ETH and overall crypto market, we adopted a more mindful approach in accumulating ETH and took a conservative and strategic capital allocation approach in the second half of 2025. That said, our long-term conviction in Ethereum ecosystem hasn't changed, and ETH remains the critical assets in our cryptocurrency strategy. As of December 31, 2025, we held a total of 8,826 ETH, increasing from 5,702 a year ago, growing this position by 56%. The same volatility continued in 2026, with ETH trading within a broad range as macro and crypto sentiment fluctuated. In February, ETH stabilized in a range that highlighted opportunistic entry point for long-term accumulation. As a result, we are pleased to announce that by February 23, 2026, we hit another significant milestone of our ETH accumulation strategy with over 9,000 units of ETH and remain one of the top players of ETH' treasury holders. Moving into the staking aspect of ETH holdings. In 2025, we expanded our digital asset strategy by partnering with FalconX to support ETH's staking activities. Through FalconX institutional-grade platform, we are able to securely stake a portion of our ETH holding, generating yields while maintain operational flexibility and strong risk controls. Furthermore, in December 2025, we acquired a Proof-of-Stake platform and launched Goldshell Stake platform, which operates as we independent PoS service platform under the Goldshell brand. As part of Intchains' comprehensive Web3 infrastructure offering, we now provide poof-of-currency stake services for individual and institutional investors. Converting ETH, our launch, Manta and Conflux and expect to expand this line business to broader international markets, leveraging Goldshell's existing customer base and market presence. I will provide additional details on staking strategy for 2026 shortly. Turning to a summary of our full year 2025 financial performance as compared to full year 2024. FY 2025 revenue of RMB 220.9 million or USD 31.6 million decreased by 21.6% due to cyclical fluctuations in the market and softer demand for our products in this period, whereby our ALEO mining machine series contributed to increased revenues in the first 6 months in 2025, and overall demand for our products become softer during the second half. FY '25 cost of revenue was RMB 204.9 million or USD 29.3 million, an increase of 56.1% (sic) [ 57.1% ], impacted by impairment charges recorded against excess mining machine inventory for certain altcoin minings during the period. FY 2025 total operating expenses were RMB 120.6 million or USD 17.3 million, decreased by 18.7,%, primarily as a result of lower sales and R&D expenses and primarily due to the reduced expenses related to the preliminary and research costs conducted for new altcoin mining projects. As a result of lower revenues and gross margins, FY 2025 loss for operating was RMB 104.7 million or USD 15 million compared to the income from operations of RMB 2.9 million. FY 2025 interest income was RMB 11 million or USD 1.6 million, decreased from FY 2024 mainly due to cash used to acquire ETH-based cryptocurrency. For the full year period, we recorded a gain in fair value of cryptocurrency of RMB 4.8 million or USD 0.7 million, primarily a result of increased ETH holdings by 3,170 units since the beginning of the year, partially offset by an approximately decrease of 12.6% in ETH's price during the period. Net loss for FY 2025 was RMB 52 million or USD 7.4 million compared to a net income of RMB 51.5 million in FY 2024. We continue to maintain a strong balance sheet. As of December 31, 2025, our cash position, which consisted of cash and cash equivalents, deposits and government securities listed in long-term investments and short-term investments was USD 67.8 million. We had current assets of USD 83.2 million, total assets of USD 145.2 million and total liability of just $6.2 million. And I would now like to provide an update to sales of our altcoin mining machines in Mainland China before discussing our 2026 strategies and business focus. On February 6, notice on further preventing and handling risks related to virtual currency was issued, prohibiting the provision of service such as sale of mining machines within Mainland China by mining machine production enterprises. In response to the notice and to ensure full compliance, we are enhancing internal control policies and undertaking ratification measures. I would like to note that although our primary sales markets have consist of overseas end users as well as domestic channel partners within China, the company's business model is designed to serve a global customer base and our channel partners purchase are primarily for export purpose. So as detailed in our earnings release, management does not expect a notice to have a material adverse impact on company's business, financial condition or results of operations. Now moving on to our 2026 business strategies. For 2026 and beyond, our growth is centralized on continued investment in R&D on the development and the sale of our Goldshell mining machines and our ETH accumulation and staking activities, supplemented with cost optimization to improve overall financial performance. In first half of 2026, we remain focused on generating revenues from the sale of our existing mining machine sales that were launched in 2025, including ALEO, Dogecoin, XTM and...
Operator: Excuse me, ladies and gentlemen, please continue to stand by. Your conference will resume momentarily. Thank you. Excuse me, ladies and gentlemen, your conference will now resume. Charles, go ahead.
Chaowei Yan: Sorry, everyone, let's continue for our earnings conference call. So 2026 is expected to be a year of margin improvement due to steps we took to implement cost management initiatives, including workforce reduction and organizational restructuring, aiming to enhance efficiency, optimize headcount and operate with leaner corporate level -- corporate model. We believe these initiatives will enable us to force resources on core R&D efforts to maintain a leading position in altcoin mining product industry, driving further margin expansion for FY 2026 and beyond. Prior to our altcoin hardware business, we are well equipped to enhance our ETH accumulation and restructure treasury holding strategy. In 2026, Intchains participates continuing a prudent approach in ETH purchasing by pursuing selective value-driven purchases when market conditions are favorable to gradually expand ETH's treasury holdings over time. As of December 31, 2025, the fair value of our cryptocurrency assets other than stablecoins such as USDC and USDT was RMB 187.6 million or USD 26.8 million, which includes approximately 8,826 ETH-based accrual currencies, valued at RMB 186.7 million. In 2026, Intchains continued to accumulate ETH. And as of February 23, 2026, total ETH held reached over 9,070 units. As part of our efforts to generate incremental returns from idle assets, we plan to continue our dual-platform staking approach using FalconX to stake ETH we have accumulated in our Goldshell stake platform to stake our third-party ETH. Staking on 2 platforms allows diversification, and we expect this practice of combination to maximize returns as we build our strategic ETH reserve and also from third-party staking. As an update, as of February 23, 2026, we have a total of 2,600 units of ETH or 28.7% of our total ETH treasury holding, currently staked with 1,000 units or 11% staked in -- on FalconX and 1,600 units or 18% staked in on our own Goldshell Stake platform. Additionally, Goldshell currently stake, 1,359 units of ETH currently owned by crypto investors. We remain optimistic about these initiatives, and we are implementing combining sale of new and existing altcoin mining machines and a solid ETH accumulation holding and staking strategy, along with cost-saving methods we are undertaking to drive solid top line results and improve operation margins in 2026. As a Web3 infrastructure provider, we have a market-leading altcoin hardware business and integrated hardware and software service portfolio, such as Goldshell Wallet and Goldshell Stake and a prudent long-term ETH strategy. With staking service serving as a second growth engine beyond our mining machine business, we have expanded into the blockchain infrastructure service sector. So we are looking to further generate synergies across our business lines, capture and act on additional opportunities as we emerge. With that, operator, please open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Matthew Galinko with Maxim Group.
Matthew Galinko: I think you've covered this in the prepared remarks, but just to clarify, do you expect to launch new mining products in the second half of '26 at this point?
Chaowei Yan: Yes, we are targeting new altcoin mining machine in the second half, but it's also subject to market conditions and our R&D progress. Currently, we have multiple coins project is under R&D process.
Matthew Galinko: Got it. And on the Goldshell Stake, I think you mentioned you have about 1,400 units of ETH staked by third-party investors. Did that come over with the acquisition? Or are those new users for the platform since you rebranded it?
Chaowei Yan: I think it's both. Yes. The staked ETH is about -- we cannot -- after the acquisition, it have amount growth in the ETH units. So it's both and half are prior to the acquisition and another half post-acquisition. Thank you.
Operator: [Operator Instructions] And we have no further questions at this time. I would like to hand it back to Charles Yan for closing remarks.
Chaowei Yan: Yes. Thanks again to all of you for joining us. We are always open to dialogue with investors. Please feel free to reach out to us or our Investor Relations firm, The Equity Group for any additional questions. We look forward to speaking with you all again on our next quarterly call. Thank you.
Operator: Thank you. And ladies and gentlemen, this now concludes today's conference call. Thank you all for joining. You may now disconnect.